Katariina Hietaranta: Good morning, and welcome to Kamux's Q4 '25 Results Information Session. My name is Katariina Hietaranta. I'm Kamux's Head of Investor Relations. And I'm here with our CEO, Juha Kalliokoski; and CFO, Enel Sintonen, who will present to you the results. Please go ahead, Juha.
Juha Kalliokoski: Good morning. Thank you, Katariina. Let's get started. Here is our agenda for presentation. As usual, we shall first take a brief look at the market, followed by a review by country. Enel will then dive deeper into the financial development, including our outlook for 2026. She will also present the dividend proposal and the extension in our share buyback program that was announced this morning. As usual, we will take the questions at the end. 2025 was a tough year for Kamux, and obviously, we are not satisfied with the results. Last year was the first year in Kamux's 22 years of history that the volumes and revenue decreased. The reason behind the 13% revenue decrease is a combination of volumes and average price. While volumes were stable in Sweden and Germany, they declined by 10% in Finland. The rest of the revenue decrease came from the lower average price. Despite the decrease in gross profit, gross margin improved to 8.7%. Margins were better in Finland and Sweden. During this market, we have wanted to ensure that the keys are in our own hands, therefore, focusing on strong cash flow. We have seen that many in the industry have had issues with their cash positions. We focused heavily on inventory turnover and our inventories decreased by 23%, which is 10% more than the revenue decrease. At the moment, we are in a position to start increasing our inventory again towards the spring and summer season. Revenue from the integrated services was EUR 13.3 million with Kamux Plus at the previous year level. I'm very happy about the customer satisfaction improved throughout the year. Our long-term target is 60 and we beat that in the fourth quarter with NPS at 65. At the year end, NPS was as high as 66. Despite the disappointing volume development, we maintained our position as the market leader in Finland, selling the most used cars, both in the fourth quarter and over the whole year. New car markets were subdued in Kamux's operating countries last year, affecting the inflow of trading cars. We can already see that the car park of 1 to 5 years old cars is decreasing in all our operating countries, which means even tougher purchasing market. This may lead to higher prices of used cars also. There were no major changes to our showroom network during 2025. In Finland, our showrooms in Jyvaskyla moved to new purpose-built premises during the last quarter. Earlier in the year, we closed the showrooms in Mantsala and Savonlinna. There were no changes in network in Sweden. We have -- where we had closed altogether 6 showrooms in 2024. In Germany, we opened a new showroom in Schwerin, near Lubeck and Rostock in the Northeastern part of Germany. To improve our efficiency in the capital region in Finland, we have decided to close 2 showrooms. The Malmi showroom closes by end of February and Herttoniemi by end of March. The cars and most of the sellers will move to other showrooms in the capital area. The Seinajoki showroom will relocate by end of March to better premises. Moving to comments per country. In Finland, the competition continued tight. Consumer continued to prefer affordable cars, which were not so easy to source, as many dealers were after them. The volume development was disappointing, but the good news is that despite the decline, we maintained our position as the market leader in terms of number of cars sold. Revenue was impacted by volumes and lower average prices. Volumes were down by 10%, and the rest was due to lower average price. Gross margin developed positively for the third quarter in a row, although margin per car was slightly down. Adjusted operating profit decreased mainly due to volumes. Insurance penetration increased to 66%. The decrease in Kamux Plus penetration rate is largely explained by the lower average prices of cars sold. Our showroom in Jyvaskyla moved to new premises during the quarter. This is one of the few premises that we own ourselves. Customer satisfaction improved further and was 65 for Q4. On a full year basis, NPS was 62. And then we will move to Sweden. In Sweden, we have made good progress into the right direction during '25, but obviously, there is still a lot of work to do. The market did not help us in Q4, and our volumes stayed at the previous year level. Revenue decreased as the average price of cars was lower than in the previous year, and fewer cars were exported to Finland. It's also good to keep in mind when thinking about the full year volumes, that in the first half of '24, we had 6 showrooms more than in 2025. 3 showrooms were closed at the end of July '24 and another 3 by end of December '24. We took active inventory management measures during the quarter, which impacted the margin per car. Despite this, gross margin continued to improve, but gross profit decreased due to lower average price. Kamux Plus penetration rates have increased quite nicely and the finance and insurance penetrations rates have remained on a good level. Customer satisfaction has developed well also in Sweden, and there is a significant improvement in NPS. It was 56 in Q4 '24. And now in Q4 '25, it was already 64. I'm also happy to say we announced the appointment of Niklas Eriksson as the new MD of Kamux Sweden yesterday evening. He will begin in the MD role in mid-April, but joins the company a little bit earlier. In Germany, our challenges continued. In Q4, did a lot of inventory cleaning by lowering prices and selling cars also to the other dealers. As a result, the number of sold cars grew compared to Q4 '24. This was at the cost of the margin, leading to a weaker gross profit and gross margin and also with an impact on financing services. Adjusted EBIT was also affected. The good news regarding Germany is that also in there, our customer satisfaction has improved. NPS for the quarter was as high as 70, and even the full year 62. And now I hand over to Enel for more details on the figures.
Enel Sintonen: Thank you, Juha. Summarizing our financial performance in the quarter. Sold volumes and revenue declined. And despite slowing decline in Q4, current volumes do not meet our ambition and we continue to work to turn it. Gross margin improved for the third consecutive quarter. Looking at financial performance per country. Finland and Sweden are moving step by step to the right direction. In Germany, we continue to face challenges, noted also by Juha earlier. And we work intensively and with discipline to turn it to the right direction. In response to headwinds in sold volumes, we have prioritized the right size and health of inventory. Inventory is adjusted to EUR 100 million level, unlocking a significant amount of cash. Inventory turnover has improved. Right steps towards capital efficiency have been done and will continue. Balance sheet ratios are at healthy level, net debt is at historically low level and equity ratio is 53.5%. And as a summary, at the time, we continue to have headwinds in volumes, we ensured right size and health of inventory, healthy financial and liquidity position. Here are our financial ratios. Revenue declined by 13 percentage points and key drivers were underlined earlier. Gross margin was 8.7% and improved slightly. Driven by lower volumes, operating result was negative. Items affecting comparability included termination of CEO contract costs. Adjusting operating result was negative. Inventory turnover, that we talk a lot in our business, has improved and we continued activities to gain further improvements in this area. Equity ratio has improved and is at over 50% level, as said earlier as well. After this year, volume is our key area to improve. We are looking our financial position. We are better equipped to go for volumes. Our inventory is at the right size and fit. Here we can see trend in volumes. Volumes declined in the quarter, but less than in recent quarters, mostly due to profitability focus and with impact from lower showroom network. In Q2, we sold about 3,800 cars less compared to the previous year same time. In Q3, about 2,800 cars less. And in Q4, we sold about 1,000 cars less than in previous year same quarter. So the decline has somewhat slowed down. We can see revenue and adjusted operating results trend here. Looking recent 4 quarters, adjusted operating profit trend was to the right direction in Q2 and Q3. However, low volumes impacted heavily to Q4 results. At the end of the fourth quarter, our cash position was EUR 18.5 million. In Q4, we paid back EUR 12 million of revolving credit facilities that can be withdrawn later when needed. Cash position and unused credit facilities gives us a good position to build up inventory and volumes. Our integrated services revenue development was hit by lower volumes. We are not satisfied with this trend, even though the share of integrated services has slightly increased to total revenue. And here is a visual representation on how our net working capital developed. We can see EUR 30.8 million reduction in net working capital, driven by decline in inventory. Our inventory is in a better fit from both structural and price points perspective. Outlook for 2026. Kamux expects its adjusted operating profit for 2026 to increase from the previous year. And dividend distribution. Based on the dividend policy, Kamux aims for a dividend payout of at least 25% of the profit for the financial year. This year, the result has been negative. However, the Board of Directors proposes dividend of EUR 0.05 per share to be distributed for the year 2025. In this morning, we have announced also an extension to our share buyback program. The program that was initially launched in November, has progressed well and Board of Directors decided to increase the number of shares to be bought. The new totals are: acquire at maximum 2 million shares, and this means extension of 1 million shares compared to initial launch. The maximum amount to be used for the repurchase of shares is EUR 4.5 million. The program will end April 16 at the latest. And back to you, Juha.
Juha Kalliokoski: Thank you, Enel. So a few words about long-term targets and strategy. In terms of our long-term targets, we have progressed well in customer satisfaction, where we have already achieved our long-term target of 60. The group level NPS for Q4 was 65. Our task is to keep it there. We have also progressed well in terms of employee satisfaction in the last 6 months, and the eNPS has risen to 15. This is obviously still below our target, but an important improvement nevertheless. On the financial side, as we have shown earlier today, we are not where we want to be. However, we are still standing by our long-term targets. Here is our current management team, to which there will unfortunately be some changes this spring, as Johan and Joanna will be leaving us. We are progressing well with their replacements, however, and we have just announced that Niklas Eriksson will join us in April as Kamux Sweden's new Managing Director. This is a reminder of our focus areas in improving productivity. During Q4, we worked especially hard on managing our inventory in preparation for 2026 and ensuring that we have a solid cash position. There is still a lot to do and we continue to work on these on daily basis. Our strategy remains unchanged. In 2025, we made good progress in advancing customer satisfaction in all our operating countries, as seen in our NPS results. The group's NPS improved from 55 to 65. We have also progressed in improving our operational efficiency, but there is still a lot to do. 2026 is the last year of this current strategy period and we will review our strategy during the year. Our vision also remains unchanged, to become the number one used car retailer in Europe.
Katariina Hietaranta: Thank you, Juha. Thank you, Enel. It is now time for questions. And we will begin by questions from the teleconference, if there are any.
Operator: [Operator Instructions] The next question comes from Joonas Hayha from OP.
Joonas Häyhä: It's Joonas Hayha from OP. So a couple of questions, starting from the inventory actions in Q4 that you did. Could you provide some additional color on what was the reason? Why did you need to clear inventory? Was it too low turnover or perhaps unsuccessful purchases or what? And how are you expecting metal margins to behave going forward?
Juha Kalliokoski: When you speak of inventories, it's always so important to remember about the inventory turnover. If the inventory turnover is too low, it means that you are getting all the time old stock, which means losses. And that's why we focused last year to turning the inventory in just the right level, but also that we can achieve our target, the inventory turnover. And as I mentioned that now we are in a situation that we are possible to increase our inventories towards the summer and spring season. And it's easier to manage lower inventory compared to EUR 30 million higher inventory. And as we saw Q1 '25, what was the impact over there.
Joonas Häyhä: Okay. And then regarding operating expenses, those seem to have increased somewhat in Sweden and Germany in Q4. Was there anything specific behind those developments? And can you elaborate the drivers a little bit?
Enel Sintonen: Yes. So I would say that we had very operational Q4 in that sense. So operating costs were slightly bigger in Sweden and Germany. I would say that nothing special in there.
Joonas Häyhä: Okay. And then can you update us on your store network plans for each of the countries? You talked a little bit about the plans in Finland, but what about Sweden and Germany?
Juha Kalliokoski: If you start from Sweden, as we said after Q3 or Q3 presentation that we are -- we have 17 stores in Sweden and we are happy about that. But of course, it can't -- it doesn't mean that we don't change the places where we are or the buildings where we are. And there is possible to use 2,000 cars in our places what we have. It means that we pay rents 100%, but we use capacity only 60%. And we are in the same situation in Germany that we have stores there, and we are not opening the new stores for both of those countries before we are making a profit in both countries. And as I mentioned earlier, it means that we must turn the inventory in the right level and then we can expand our inventories higher.
Katariina Hietaranta: Thank you, Joonas. There seems to be other questions on teleconference as well.
Operator: The next question comes from Rauli Juva from Inderes.
Rauli Juva: Yes, Rauli from Inderes here. Just a question on your outlook, if you can a bit elaborate more kind of the drivers behind the earnings growth expectation and the volume development and the margin development and what are the measures that will enable those?
Enel Sintonen: What a difficult question, difficult to answer. So as said by Juha, our long-term target remains the same, 100,000 cars. What we have seen in 2025, both operating environment, but also our own operations have seen some challenges. So when looking ahead, we have made a number of steps to improve our own operational daily routines, also putting in place better inventory, inventory in better fit in better structure. So this is why we see that we improve in profitability. However, as seen, it has been tough. And we are -- it also sees in our outlook that we have given.
Juha Kalliokoski: And maybe if I continue shortly. If you think about the building, you must first -- if there is something broken, you must first building the ground of the house. And we did that in last year in many ways. And now we think that we are better positioned to start to also grow.
Rauli Juva: All right. All right. Yes, so it's mainly kind of based in your own, let's say, processes or so, so no big changes expected in the markets or perhaps in your market share on the cost side as such?
Juha Kalliokoski: Of course, we are taking -- as we mentioned about the showroom network in Finland, we are taking off about the property costs a little bit and share the costs and people to the newer stores. And also, we don't believe a big change in the consumer confidence in this year. Of course, we heard something about the positive feedback from the market, but we don't calculate about the big number of that.
Katariina Hietaranta: That was all questions from the teleconference, if I'm correct. Very good. Before we take questions here from the audience, there's a couple sort of related but perhaps expanding a little bit, particularly on the outlook via the chat. So questioning, again, the volume assumptions within the outlook. If there's any sort of ideas behind that in terms of unit number or year-on-year growth range? And whether the profit improvement is thought to be more volume-driven or gross margin expansion? And maybe also related to that, to the guidance is that are there some uncertainties that could prevent us from achieving it? And how should that be interpreted?
Enel Sintonen: So when looking at the -- I will start with the inventory level we entered the year. So we have a much lower inventory level compared to last year when starting there. And this was also our target to enter the market with this level when we -- and this is the base where we start. Our thinking is that we build up volumes and inventory accordingly, but we do it very -- in a conscious way. So no quick fix in volumes in that sense. So we have been quite, how to say, conscious and cautious with volumes in our thinking behind the outlook. What we still think is what is the right balance between profitability and volumes. We still aim on -- continue to aim on profitable deals, healthy business. So we expect margins to remain or improve in that sense. Anything to add, Juha?
Juha Kalliokoski: That was a good answer.
Katariina Hietaranta: Okay. Thank you. I'll take a couple of more questions here from the chat. And there's 2 that I'll try to combine. They are related to the purchasing organization. There's a question that the purchasing organization, is it partly outsourced or 100% in your own hands and with reference to the purchase of webcasts. And then also asking how are the sourcing channels evolving today and whether we expect to have an impact of the sourcing channels in '26?
Juha Kalliokoski: The purchase side and sourcing side, it's all inside the company, our own employees. You can't outsource that. We have the purchase organizations in all countries with purchase just the cars what needed in the Finnish market, in the Swedish market, in the German market. And then we have the cooperate between the countries and they have the meetings and try to share about the packages, what are the market can we share those or are we interested in Sweden, cars which are in Germany and so on. And when we speak about the channels, it depends a lot of the market. If we start about Germany, it's very much business-to-business how we purchase the cars. And in Sweden, it's totally different way. Most of the cars, what we purchased, we purchased from the private customers or business-to-consumer business and try to increase about trading cars, and we are improving over there, and it's important. And Finland, it's the highest rates about the trading cars, over 50%. And we buy locally from the private customers, but also from business-to-business inside the country, but all over the Europe also.
Katariina Hietaranta: We've been speaking quite a bit about the car park development in countries and particularly in Finland and I believe also in Sweden, suggesting that due to the new car market being so slow, so the number of available used cars is getting lower, which means that particularly to Sweden and Finland, there needs to be more imports. Anything you'd like to comment on that?
Juha Kalliokoski: Yes. In Finland, it means more imported cars. In Sweden, it means that, of course, the crown is now stronger compared to a year back or 2 years back. It means that it's not so easy to export cars from Sweden or import from Sweden to Finland. And that's why in the Swedish car park, it's not so much out of Sweden. But many, many, many years back, there is 100,000 cars per year what moved from Sweden to other European countries.
Katariina Hietaranta: Okay. One more question from the chat and then we'll move to questions from the audience. How far are you from your normal sales levels -- normal sales level? And how much of the gap is due to the weak economy versus increased competition?
Juha Kalliokoski: How far away we are, of course, we cannot set our budgets, but as we said earlier, it's very important to increase hand by hand the inventory turnover, what means to sales and the inventory levels. If you do so that you increase the inventory, of course, it's very short-term good impact. But after the 3 months, there is coming a lot of bad things on the table. And that's why we are very carefully about increasing the inventories and the sales speed coming with the inventory increases.
Katariina Hietaranta: Very good. Thank you. Any questions from the audience here? Maria, please, you get the mic, just a second.
Maria Wikstrom: Yes. Maria Wikstrom from SEB. I had 3 questions. I'll take them one by one. I'd like to start asking like who is winning share given that, I mean, your number of cars in Finland you sold was down 10%. The official statistics show about a percentage drop in the Finnish used car volumes. So who is currently gaining share?
Juha Kalliokoski: If you look about the last year numbers, there is both Rinta-Jouppi, K-Auto and Bilar99. Those are the strongest companies which grew last year.
Maria Wikstrom: And if I may expand a little bit here that, I mean, you probably have analyzed the situation, I mean, with the Board. What do you think has been like the winning recipe then in 2025?
Juha Kalliokoski: Of course, if you open -- if you start somewhere and you open new stores and new locations, hire more people and increase the inventory, it means automatically -- not automatically, but it's easy to grow. But if you are the market leader and you have tough situations as we had Q4 '24, Q1 '25, then you must take -- make a choose where you want to win. And we -- as Enel mentioned, that we made decisions that we are taking a margin, healthy inventory, good cash positions.
Maria Wikstrom: There have also been some, I mean, news articles about like Finnish customs having an investigation on certain car dealers for their practices of importing cars and I guess, I mean, paying for the VAT. Are you part of these investigations?
Katariina Hietaranta: Maybe I'll take this one. So we haven't been contacted by authorities. Of course, we look at the news and follow the situation, but no contact -- they have not contacted us on that.
Maria Wikstrom: And then finally, on Sweden. So what kind of mandate you have given -- I think his name was Niklas, the new country Head of Sweden. So is that more like a growth or profitability mandate that you gave him when he's taking the helm in Sweden?
Juha Kalliokoski: I would say that in Sweden we need the growth that you can achieve the profit also. It's not so -- now in Sweden that we only need the margin. We need both of the margin, but we need also the growth. It's hand by hand.
Maria Wikstrom: And if -- one follow-up there. So would that be more, I mean, growing the number of cars in the inventory? Or have you given him a possibility to start increasing the number of locations as well?
Juha Kalliokoski: As I said earlier, we don't open -- and we were very clear about Niklas that we said we don't open any store before we are taking place -- use all the places what we have in our Swedish stores and store networks. And it means that we can grow our inventory, but not open any stores before we are profitable there.
Katariina Hietaranta: Any further questions?
Unknown Analyst: [ Jussi Koskinen ] Kamux's story was competitive advantages through or based on scale, financial services, database management and so on. So what has happened to those competitive advantages you told me to us a couple of years back? Have they disappeared? And can we somehow enhance those or get some new competitive advantages?
Enel Sintonen: The areas that you mentioned are still there. The competition is more tough on those because when you go first with the competitive advantages, your competitors are very eager to copy those. So what we are -- have started already is our strategy update process. We look into those areas very carefully and our strategy overall and also competitive advantages as part of it.
Juha Kalliokoski: If I continue shortly, maybe also the size of the store network, especially in Finland and Sweden, those are still in our own hands. We have our own tailor-made ERP CRM system, Kamux management system. And we know many competitors which works in many countries, and they have several different systems what they use, and it's quite tough. And of course, the brand. We are still 22 years old company and the best known in -- especially in Finland.
Unknown Analyst: Is it possible to execute those old advantages more efficiently or find some new advantages?
Juha Kalliokoski: We believe that we can find also some new when we are updating our strategy in this year. And also, we need strength about those advantages what we have.
Unknown Analyst: I'm not sure if I remember right, but at some point of time, there was discussion that you would like to have more stores in capital area, and now you are closing 2 of those. So has the situation somehow changed or?
Juha Kalliokoski: Yes. We look about how many cars we can set or put in our stores in the capital region. And now we had so many places and the sales were not as good as needed and we didn't have so many cars what are possible. And it's not okay in a financial perspective to use the place where we can -- where we couldn't make a good business.
Katariina Hietaranta: Then we have questions from Davit, please.
Davit Kantola: It's Davit Kantola from eQ. I have a question on the inventory cleaning or decrease you did in Q4. Could you elaborate, was it done during the quarter evenly or was it at the beginning or at the end of that?
Juha Kalliokoski: I would say that we made systematic work the whole quarter. And the level where we are at the end of the year was very near about the target what we set when the quarter started.
Katariina Hietaranta: Any further questions? Sorry, Maria, I was typing, replying.
Maria Wikstrom: No worries. Yes, I have a few more follow-up questions, which I mean, today, when I walked here, the sun is shining and that typically means that the high season is ahead of us. And given your inventories were quite low at the end of Q4, so have you been able to source attractive used cars, I mean, ahead of the high season or are the next explanation for lower volumes being that, I mean, there were everybody in the market sourcing for attractive used cars?
Juha Kalliokoski: As I mentioned, we are in a situation that we can start to grow our inventory and we started it.
Maria Wikstrom: And then I think you mentioned in your CEO notes that one of the like weak points in '25 was high employee turnover. And I guess, I mean, that's probably following the lower used cars -- number of used cars sold, which then I mean reduced the compensation for the sales employees. So how you are going to tackle this in 2026? And is it possible to tackle it with the current model?
Juha Kalliokoski: Yes. We started -- you can continue after me. We started the program for the leaders, I mean, store managers and the area managers start of this year to give more tools for them to handle the purchasers and the sellers and take better care of the employees. And as we see that we are on the right track when we think about the eNPS, what happened last year, the second half of the year, but we have still a lot to do. And of course, it's also how much the sellers can earn, how much they can sell, what is the margin of the cars. And it's one reason, of course.
Maria Wikstrom: And I think, I mean, given that I followed you guys, I mean, quite a long time, and I think we talked about the quality of data that you have in your database. And I mean, now the AI is a big theme everywhere and I would assume that, I mean, with the AI tools, I mean, the kind of information that you previously perhaps have held by yourself is easier to accessible to other players as well. So how would you see the impact of an AI to your business?
Enel Sintonen: This is something we discussed about in our strategy work as well. But of course, we have discussed many months, at least since I have been here. We see in many areas, of course, first, you mentioned that maybe competitors who doesn't have their own database have an advantage. But at the same time, we see it as an advantage as well because we own the data that we have and we can do a lot with that with IA. Also, of course, we see customer journey -- very, very traditional areas, customer journey, inventory management. It's -- the development is so fast in IA, and we also are in the journey with the development. So this is something we really work on and continue in 2026 and particularly within our strategy work.
Katariina Hietaranta: Any further questions from the audience? There's at least one more via the chat. So we'll take that. How many cars do you have to return for repairs after you sell them? And how does that affect your bottom line? So after costs.
Juha Kalliokoski: I would say that 70% of the costs coming when we speak about the repair cost or maintenance costs coming before the sales. It means that 25% to 30% coming after the sales. And of course, we have the ticket system. We see all the tickets. How many claims we have, how fast we handle those and what are the cost of those. Maybe that's the answer.
Katariina Hietaranta: Any further questions? If not, then we thank the audience online and the audience here at Flik Studio and wish everyone a good day. Thank you.
Juha Kalliokoski: Thank you very much. Have a nice day.